Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ball Corporation Second Quarter Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we’ll conduct a question-and-answer session. [Operator Instructions] And as a reminder, this conference is being recorded, Thursday, July 30, 2015. And with that, I would now like to turn the conference over to Mr. John Hayes, CEO of Ball Corporation. Please go ahead, sir.
John Hayes: Thank you, Keith, and good morning, everyone. This is Ball Corporation’s conference call regarding the company’s second quarter 2015 results. The information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are in the company’s latest 10-K and in other company SEC filings as well as the company news releases. If you don’t already have our earnings release, it’s available on our website at ball.com. Information regarding the use of non-GAAP financial measures may also be found on our website. With regard to Ball’s proposed offer for Rexam and consistent with the requirements of the U.K. Takeover Code, we will limit our comments regarding the transaction to four areas. Number one, what has already been made public via the 2.7 release that was published in February; number two, where we are in the regulatory process; number three, the outcome of the Ball Special Shareholders Meeting; and number four, an update of ongoing economic hedging and debt activities related to the proposed transaction. Also note that there may be certain limitations regarding the depth of our business commentary and certain other items we would normally discuss on a quarterly earnings conference call due to the nature of the proposed transaction. Given the nature of our proposed offer, today's issued press release, webcast and conference call are advertisements and should not be considered a prospectus. Investors should not make any investment decisions in relation to the new Ball shares issued in connection with the Rexam transaction except on the basis of information in the prospectus and the scheme documents which are proposed to be published in due course. This presentation and transcription of comments are not for release in whole or in part in, into or from any jurisdiction where to do so would constitute a violation of the relevant laws of such jurisdiction. For more information on Ball's proposed acquisition of Rexam, visit the Offer for Rexam page on Ball.com. Now joining me on the call today is Scott Morrison, Senior Vice President and Chief Financial Officer. I'll provide a brief overview of our Company's performance. Scott will discuss financial and global packaging metrics and then I'll finish up with comments on our aerospace business and the outlook for the second half of 2015. Second quarter results were in line with our expectations and the operations are fundamentally strong. The headwinds we acknowledged in early February and late April around earnings translation, aluminum premiums, project start-up costs and tough volume comps in North American food and our Brazil beverage can operations continued and deferred compensation costs related to director retirements flowed through in the quarter. Scott will go into more detail in terms of quantifying what we believe are transitory costs and headwinds. In total these headwinds represented approximately $0.23 per diluted share in the quarter and $0.39 year to date. As we said in April, overriding these headwinds are the investments we are making to operationally and strategically position Ball for future growth. As you know, February 19 we announced a proposed offer for Rexam. Earlier this week Ball shareholders voted overwhelmingly for the share issuance proposal and I'd like to thank all of our shareholders for their support of the Board's recommendation. While we continue to make progress on the process around the proposed acquisition of Rexam, including our ongoing work with the US FTC, moving to Phase 2 with the European Commission and formally filing with the Brazilian regulatory authorities, we remain focused day to day on the maximizing the value of what we currently do and generating strong free cash flow. Growth capital projects that have become and/or will become operational that will largely benefit 2016 and beyond include the next-generation aluminum bottle shaping technology in North America which is in the midst of ramping up to commercial speeds although it has been a bit behind schedule due to the learning curve of this new technology. The new Oss, Netherlands specialty beverage can line and the addition of end manufacturing capacity in our existing Lublin, Poland facility which both came online this quarter; the construction of our Monterrey, Mexico two line aluminum beverage can facility, which we still expect to become operational in early 2016; the construction of a new beverage can plant in Myanmar, slated to open in early 2016; a new US tinplate aerosol can manufacturing technology which is in the process of starting up as we speak; the expansion of our aluminum impact extruded container business in Europe which we expect to be operational by early 2016; and the construction of a new aluminum impact extruded aluminum facility in India which is expected to come online by year-end 2015. Moving into the back half of 2015 and excluding North American food we will cycle off difficult volume in aluminum premium comparisons and our near-term focus remains on executing on the capital projects, implementing continued cost-out initiatives in China and Europe and finalizing and closing a variety of aerospace proposals that are in the pipeline. I'm proud of the amazing work being done by all the people at Ball. It truly is a team effort to manage through these multiple projects and the acquisition process at the same time. And with that, I will turn it over to Scott for a review of our second quarter numbers. 
Scott Morrison: Thanks, John. Ball's comparable diluted earnings per share for second-quarter 2015 were $0.89 versus last year's $1.13. As John alluded to, four main factors contributed to lower results in the quarter: $0.12 of unfavorable currency effects largely due to a weaker euro, $0.05 for deferred compensation costs associated with two long-standing Board members' retirements, an aluminum premium headwind of $0.04, and $0.02 of start-up cost associated with capital projects coming online in the second half of 2015 and early 2016. In addition metal food and Americas beverage volumes remain challenging in the second quarter due to the previously disclosed loss of a major food can customer in North America, anticipated lower year-over-year beverage can demand in Brazil following last year's World Cup and continued weakness in US carbonated soft drink. Much of the difficult comparisons for 2015 are behind us and free cash flow was still expected to be in the range of $600 million excluding cash costs associated with the Rexam transaction even after a $50 million increase in expected capital expenditures. As we said in April, our dividend will remain unchanged during the proposed acquisition process and we are not precluded from acquiring Ball stock. However, the allocation of capital towards share repurchases will be opportunity dependent. For the full year 2015 here's an update on financial metrics. CapEx will likely be in the range of $450 million, up $50 million from our previous estimate given year-to-date project dollars spent. Interest expense will be roughly $150 million excluding debt refinancing and other costs. The effective tax rate is now expected to be closer to 28% due primarily to the geography of earnings. And corporate undistributed will come in just below $90 million which includes roughly $10 million related to director deferred compensation costs recorded in the second quarter. In June the Company issued $1 billion of 10-year senior notes at 5.25% which follows the March redemption of our 2020 and 2021 senior notes. Our GAAP results in the second quarter were favorably influenced by the economic hedges we put in place to reduce currency exchange rate exposure associated with the British pound-denominated cash portion of the announced acquisition price for Rexam and to mitigate exposure to interest-rate changes associated with anticipated debt issuances also in connection with the cash portion of this proposed acquisition. These economic hedges allow us to lock in the transaction's purchase price economics though they will likely continue to cause disruption to quarterly GAAP earnings and could accumulate to a sizable figure given currency rate volatility and the projected timeline associated with the proposed transaction. We will continue to break out these items to provide as much transparency as possible. Details on these economic hedges are provided in note 2 of today's earnings release and will be explained in more detail in our 10-Q. Credit quality and liquidity of the company remains solid with comparable EBITDA interest coverage at 5.5 times and net debt to comparable EBITDA at 2.7 times. The company has enough committed credit and available liquidity at quarter-end to consummate the proposed Rexam transaction and provide ongoing liquidity for the Company. For a complete summary of second quarter 2015 results on a GAAP and non-GAAP basis and details regarding the second quarter, please refer to the notes section of today's earnings release which includes a simplified table format summarizing business consolidation activities. Now moving to operations, our metal beverage Americas and Asia segment comparable earnings for second-quarter 2015 were down $15 million year over year, mainly due to production curtailment in Brazil due to lower volume versus year-over-year comparisons and unfavorable pricing in China. In total segment volumes were down low single digits as North America carbonated soft drink demand continued to be soft. Progress continues on capital projects to serve the increased demand for specialty containers and metal beer packaging in Northern Mexico as well as cost optimization initiatives in China and US beverage end manufacturing. European beverage comparable earnings were down just over $14 million in the second quarter; however, on a constant currency basis they were flat year over year. Unfavorable earnings translation, €6 million of aluminum premium headwinds and start-up costs outweighed low single-digit volume growth in the quarter. As a result utilization rates are very high and out of pattern freight is occurring. That will likely continue in the third quarter though aluminum premiums will ease as we move through the remainder of 2015 and help offset these costs. As we said in the first quarter we still expect on a euro basis for our European beverage business to be up year over year. Food and household comparable segment earnings were down in the quarter as segment volumes declined mid-teens following the customer shift in US food cans. The segment was also impacted by a couple million dollars of unfavorable earnings translation related to the European portion of the extruded aluminum aerosol business. We continue to ramp up the next-generation steel aerosol can manufacturing technology and further grow the extruded aluminum businesses in Europe, India and the United States which will improve segment performance in 2016 and beyond. In summary, our global packaging businesses are extremely focused on strengthening their capital base, improving processes and driving efficiencies. Thank you again to everyone working together to make Ball's metal packaging businesses even better. With that, I will turn it back to you, John. 
John Hayes: Great, thanks, Scott. Our aerospace business reported solid given the difficult comps they were up against. Contracted backlog ended the quarter at $641 million and anticipated reduction year over year as we await word on the program bids that have been moving to the right a bit. The employee base at aerospace continues to perform well on existing programs and has been rewarded with amazing images of Pluto and its mountainous surface courtesy of Ralph, a Ball-built camera that traveled for a decade to reach its destination aboard the New Horizons mission. Now turning to the balance of the year and echoing our first quarter comments we have a lot of execution in front of us now and in the near future to reap the rewards of the capital projects coming online in the second half of 20 15 and early 2016 as well as reaching completion on the proposed offer for Rexam. As we have said previously we've been facing transitory costs, some of which are beginning to abate whether it be aluminum premium or project start-up costs. Our business remains fundamentally sound with some hard spots and some soft spots. In our North American beverage can business we're excited about our new facility starting up in Mexico. Our specialty volumes continue to grow and the announcement yesterday regarding our Bristol, Tennessee end manufacturing facility positions us well from a cost point of view going forward. In European beverage we're facing a very tight supply-demand situation but we expect tailwinds related to aluminum premium to occur and our cost-out work continues to make progress. As Scott mentioned this gives us confidence to say the full-year will be better than 2014 on a constant currency basis. In Brazil we're cycling off some very difficult comps and the economy remains weak with GDP expected to decline this year and inflation over 9% However, as we look to 2016 we do have easier comparisons to look forward to and we have the Olympics in this region which should be a positive. In Asia, we've had very good cost management ongoing in a difficult pricing environment and we are fundamentally sold out. However, we have no expectations of investing in additional capacity unless we can generate appropriate returns. Our food and household products business is truly a tale of two cities. On the food side of the business, the loss of a large customer and a very challenging pricing environment due to a new competitor is forcing us to batten down the hatches and it will be challenging for the foreseeable future. However, on the aerosol side both the tinplate and the aluminum businesses are growing nicely and our current investments in these businesses here position us for a solid future. Lastly, in our aerospace business, we've had generally good execution and there are several sole-source programs that we had initially expected to hear about by now. We do expect to get these late this year or perhaps early next year. So, in summary, our outlook for the full year has not fundamentally changed since our last update in April. And while currency translation, start-up and preproduction costs will remain a headwind for the balance of the year our businesses remain solid and are on track to generate a significant amount of free cash flow. Together we are working hard to improve Ball for 2016 and beyond. And with that, Keith, we are ready for questions.
Operator: [Operator Instructions] And our first question is from the line of Ghansham Panjabi with Robert W. Baird. Please proceed.
Mehul Dalia: Hi. Good morning. It's actually Mehul Dalia sitting in for Ghansham. Can you give us an update on the impact of aluminum premiums in the back half and in 2016 at current rates in your estimation? 
Scott Morrison: Yes, it kind of peaked in the first quarter. It came down, it was €6 million in the second quarter and then we expected it to be a tailwind in the back half of the year. We won't quite offset the amount of cost, increased cost that we had in the first in the second half. But then we'll continue to see benefit as we move into the first half of 2016.
Mehul Dalia: Great. And next given that CapEx is going up $50 million and you are reiterating the $600 million of free cash flow, can you tell us what's reconciling that difference on the other side?
Scott Morrison: Sure. Great working capital management both from an inventory standpoint as well as a payables standpoint. So that's why we're ahead of schedule on those items which is offsetting the increased CapEx. 
Mehul Dalia: Okay. And just one last one, do you feel the $600 million of free cash flow you're going to generate this year, is that a sustainable baseline going forward?
Scott Morrison: Well, it all depends on CapEx opportunities going forward. We're investing quite a bit of money this year in projects that we're very excited about. So it really depends on how the world goes forward and what kind of opportunities we can uncover. But there shouldn't be -- we've gotten a lot of money out of working capital in the last few years. I don't know how much more we can get out of working capital. It will still be a source this year. But each year I think that we get closer to the end of being able to generate those kind of benefits so we'll see. 
Mehul Dalia: Great. Thanks.
Operator: Your next question is from the line of Chip Dillon with Vertical Research Partners. Please proceed.
Chip Dillon: Yes. Good morning. My question has to do, first one is, when you look at the capacity situation in Europe you mentioned how constrained it was. Could you first tell us in general where you have to ship from and two, to balance that market? And then secondly I know that Rexam has announced and had talked about a number of either projects that they actually are undertaking or had planned to at some of their analyst days in the last couple of years. And do you think those projects will be enough to rebalance the market? I'll put it that way, or do you think more capacity may be needed as you look out to 2017 and 2018? 
John Hayes: Chip, from our perspective first remember that we had our Oss facility start up in the second quarter and it was kind of in the summer. And so as we go into 2016 we think some of the additional capacity with that will help alleviate the situation. But right now when you really think about where our growth has been, Germany continues to be strong. I think that's the biggest market. And these as you know are very regional markets and historically we had had to ship out of Germany into other areas and so as that continues to grow we keep it in the local German market and that has just put pressure on other areas. So I don't think there's one answer in terms of the out of pattern freight. I think it comes from a number of things. But certainly it has been costing us the money. With respect to question about Rexam given where we are in the transaction and UK takeover code I probably shouldn't answer that. 
Chip Dillon: Okay, I understand that. And then you mentioned the timing of the CapEx being, causing the year guide to be up $50 million. Do you see that coming out of next year? In other words, do you think that next year's CapEx would be roughly $50 million lower or do you think there are other moving parts, other opportunities you might be seeing then? 
John Hayes: Yes, it's a little bit of both, Chip. I will start first and then turn it over to Scott. But I do think we are spending more capital this year than we have perhaps ever if not a very long time. And I do think there is a little bit of pull-forward in terms of what you're talking about. But as you know we look at all projects on a bottoms-up basis and if there is good return generating projects we'll chase them. There are a couple of things we're looking at right now but it's premature to comment on it. But I think all things being equal unless we see these good projects you should expect CapEx to come down.
Chip Dillon: Okay. And last quick one is, you mentioned the segment volume as down low single digits, I believe for the Americas beverage segment. And you did mentioned the soft, weaker soft drink volumes in North America. Could you give us an idea of how you did if you can by specific region within the Americas?
Scott Morrison: Yes, I'd be happy to. I think the overall market was down about 1%. We were down a smidge more than that. I think from a soft drink side we were kind of down and in line with the market. We were down a touch more on the beer side relative to the market. And I might point out that beer was up about 1% in the North American market. We were off a little bit more just because a customer was taking more volume in house. And so that had a little short-term dislocation but as you know we've been selling on the beer side, selling cans to a customer for filling down in Mexico and export back into the United States. We were off a little bit more just because a customer was taking more volume in house. And so that had a little short-term dislocation but as you know we've been selling on the beer side, selling cans to a customer for filling down in Mexico and export back into the United States. So that's been helping us. But I think overall soft drink was about down in line with the overall industry and we were off a touch more on beer just because of this mix issue I mentioned. 
Chip Dillon: And Brazil and China?
Scott Morrison: On Brazil, we were -- the market was off almost 10% I think. We were a bit better than that. We were off just a smidge on that. But there was some mix issues in there where from a mix perspective we our specialty volumes were down more than our standard volumes. And then on the Asia side there is continued decent growth from an industry perspective but as I mentioned in my prepared remarks we were roughly flat just because we are sold out.
Chip Dillon: Great, thank you.
Operator: Your next question is from the line of Tyler Langton with JPMorgan. Please proceed.
Tyler Langton: Yes, good morning, thanks. Just on metal food and household, I guess could you give a little color in terms of the year-over-year decline in profits, how much was volumes or price mix and start-up costs and how to think about those trends going forward? And if there's cost out there that could help as well?
Scott Morrison: I mean just to give you a context I think the volume, the loss of volume is the biggest part of it. The pricing environment has been challenging. Last year I think we made more in the second half than we made in the first half, that I do not expect that to happen this year. But I also see it as kind of a low point in that business. And we continue to take cost out and aggressively pursue that. And so kind of have a new base to start from as we go forward. As John mentioned on the aerosol side that business continues to perform well. Both on the tinplate and the aluminum side, we're seeing growth and that's why we're investing in those growth areas in India, U.S. and in the Americas. 
John Hayes: Yes just to provide a little bit more color around that, on the food side of the business our volumes were off roughly 25%. But actually when you exclude the loss of that big customer we were actually up slightly. On the aerosol business around the world we were up about 3%. And so what you see is excluding that customer it was a lot of volume as Scott mentioned, excluding that customer I think on the aerosol side we're actually doing pretty good. It's just this very challenging volume and pricing environment we're seeing on the food side. 
Tyler Langton: Got it. Okay, and then just switching to Europe, do you have a sense how much I guess either your volumes or how much the market was up in Germany and how much that growth is contributing to your overall growth?
John Hayes: I think -- I don't have the exact numbers in front of me but I know Germany was up double-digit percent. We were probably generally in line, maybe a touch less than that only because of this type demand, supply-demand situation I mentioned. But the quote comeback of the can in Germany continues. 
Tyler Langton: And then I mean is that the main I think you said your volumes were up low single digits in the quarter. Is Germany the main driver or are you seeing growth in other markets as well?
Scott Morrison: When you look at it from an industry perspective and where Ball is strong you know the overall market as you know we're strong in Germany, we're strong in France, we're strong in the Benelux region, we're strong in the UK and in Eastern Europe, particularly in Poland. And you look at some of those regions and while I mentioned that Germany continues to go well I think France was relatively flat, the UK was down 3% or 4%. The Benelux region was down low single digits and Poland driven by a very soft beer was down as well. So that's impacted us but I think we overall performed pretty well despite more or less on the beer side it being softer than it has been.
Tyler Langton: Got it. Okay, thanks so much.
Operator: Your next question from line of Philip Ng, Jefferies & Company. Please proceed.
Philip Ng: Good morning, guys. FX aside, how much of the transitory costs you guys called out earlier do you expect to incur for the full year and will that essentially go away next year? 
Scott Morrison: The increase from the directors' retirement that was $10 million. That was a one-time hit obviously we don't expect a hit like that again. I would say metal premiums that's the other big one that was dragging on the first half of the year. It will be a benefit into the second half and then a benefit into the first half of next year. Then start-up costs, a lot of these projects come on early 2016. So we'll see start-up costs coming through the P&L through the back half of this year and then it should dissipate as we get into 2016. So those are the big ones. 
Philip Ng: Okay, that's helpful. I guess framing this longer term excluding Rexam closing do you expect your EPS growth to get back on track to your long-term 10% to 15% growth target in 2016 and possibly north of 2014 levels?
John Hayes: To the issues that we can control, I'd rather not talk about the 2015, but to the issues we can control we actually feel pretty constructive about all the investments we're making. We knew that 2015 was going to be tough for all the reasons we've talked about that we do believe to be transitory. So when you think about those headwinds in 2015 becoming tailwinds as Scott was just alluding to and then the operating performance of the capital deployed we ought to be getting back on track. 
Philip Ng: Okay, that's helpful. And in the announcement you guys had yesterday about shutting down a canning plant in North America, how much cost-saving should we expect? 
John Hayes: We didn't quantify it. It doesn't happen until the middle of 2016, so we have quite a bit of runway before we get to that. So we'll update you as we get closer to that. 
Philip Ng: Okay. But we would expect the type of return you normally would have for any projects, you kind of talked about the costs that you're incurring for it? 
John Hayes: Yes, it's a better way to rebalance our end making capacity in North America. So we expect to get the same kind of returns. 
Philip Ng: Okay, very helpful. 
Operator: Your next question is from line of Anthony Pettinari with Citi. Please proceed.
Anthony Pettinari: Good morning. Just to follow up on Chip's question on Brazil, is it possible to quantify the impact of the curtailments there either from a volume or an earnings perspective? And looking at the second half would you expect those curtailments to continue or maybe accelerate with the tough economic conditions there? 
John Hayes: Well again -- this is a seasonally slow time in the second quarter and then the weather starts to get better as you move to the back half of the year as their summer starts. So I would expect it to improve in the back half of the year. We also if you recall last year with the World Cup the first half of the year was very strong and then it really slowed down in the third quarter. So our comps get better in the third quarter. So I would expect that curtailment to reduce considerably as we move to the back half of the year. What was the other part of your question, quantifying it. All I'll say is we were short -- the amount we were short and I discussed it in the relative impact, Brazil was probably well more than half of the shortfall and China pricing was the other part of it. 
Anthony Pettinari: Got it. And then just for the second half for Brazil would you expect, and apologies if I missed this but would you expect volumes in the second half to be flattish, modestly up, modestly down? 
John Hayes: We expect the volumes in the second half of the year relative to 2014 to be up. It's a function of how much for two reasons. Number one, Scott mentioned how soft it was in the second half last year. And then number two, you know the can continues to do well in Brazil. As I mentioned the overall economy is soft. I know beer production is down, I know soft drink production is down but the can continues to take share. So how much of a year-over-year improvement I think it's too early to tell. We're not expecting significant improvement but there should be improvement. 
Anthony Pettinari: Okay, that's helpful. And then switching to food I think you referenced competitive headwinds that might continue in the foreseeable future. At least one of your competitors has made efforts to lock up customers in longer-term contracts and they've indicated that the vast majority of their customers are covered under these contracts that maybe at least insulate them from pricing pressure in the next couple of years. Is that a process that you've undertaken? Is there a way of understanding how you've engaged your customers to protect yourself from pricing pressure in North American food in the next couple of years? 
John Hayes: Yes, I would say the vast majority of our contracts are under long-term agreements as we speak right now. But let's not forget this is not a new phenomenon in terms of people knowing a new capacity was coming on stream over the last couple of years. And so this pricing issue isn't just happened several months ago, it's been going on for a while. 
Anthony Pettinari: Okay. That's helpful. I'll turn it over.
John Hayes: Thank you.
Operator: Your next question from line of George Stephos with Bank of America. Please proceeds.
George Stephos: Hi everyone. Good morning. Thanks for all the details. I want to start off in Brazil. John, did I hear you say that specialty cans were down a bit more for you than your standard can? And if I heard you correctly then am I then to assume that's just a function of macro weakness and consumer maybe going down in price or what was it? 
John Hayes: I think it was -- well let's be clear on my comment. My comment is directed to the second quarter which is the seasonally slowest. I think it was just a mix issue relative to customers. I don't think it was something bigger term because I know year to date the trends in specialty are in line, it was just more of a second-quarter phenomenon. 
George Stephos: Okay. Now this question comes up fairly frequently right around earnings season. Some of the other packaging substrates in the market in Brazil, producers of those would suggest that in this kind of environment where economic weakness is pervading that you're going to see a shift back towards returnable packaging because of economics and that in fact you'll see one way slipping. Recognizing that your customers tend to be much more one way and that's one of the reasons that you've been gaining share up until now, are you seeing anything in the marketplace that would suggest that returnable are going to regain market share? And if you could qualify or comment on that that would be great. 
John Hayes: You know, George, the short answer is no. We often talk about can penetration as a share of the beverage market because that's the easiest thing to measure where it's still in the mid-40s in Brazil. I do know in the second quarter it didn't improve but it didn't decline necessarily either. And again I don't read too much into the second quarter in Brazil because it is seasonally slow. But we haven't seen any reversal of those longer-term trends towards one-way packaging in the can in particular.
George Stephos: Okay, thanks, John. Now in terms of the food business in North America, can you comment as to where you stand with your efforts to either regain some of that lost volume and/or realign your production to deal with the new realities? And maybe the answer is we've completed and we are where we are with volume. But can you comment as to either your ability to regain some new volume either in food or in other applications and again what you've been able to do to lower the cost structure given the new environment? 
John Hayes: Well, yes. First on the volume I'm not going to go into great detail but we don't expect any significant changes in our volume relative to overall industry volumes as we go forward. We're very much more focused on the cost side of our business. And the only thing I'd say is we have, are and will continue to drive cost out of that business because we've got to be as low cost as possible in that business.
George Stephos: Are the plans in place and being implemented or is there more yet to come say later this year and into 2016 that has yet to be implemented and for that matter a gain garnered from? 
John Hayes: Well, a little bit of both. We've done a lot on the cost side but as I said when you lose that much volume it's always difficult to cover off all the costs at once. So some of the things that we've already executed on aren't completed and we are always looking at new ways of trying to take cost out of our business because we've got to be competitive from a cost side long term, full stop. 
George Stephos: Okay, last one and I will turn it over and recognizing it's going to be a little bit harder to project because you're relying on ultimately the government to turn on the funding. But if you win your fair share of the projects that you believe you have a right to compete in, would you see your backlog getting back to $1 billion say within the next 12 to 18 months? Thanks, guys. 
Scott Morrison: Yes, you know there has been a slow leak in our backlog. As I mentioned in my prepared remarks, we do know that there's a couple of things out there that we fully expect the government to fund and we fully expect to win. So I don't want to declare that within 12 months that we will be at the $1 billion that you mentioned, but it should be meaningfully higher over the next 6 to 12 months without question on that. Can we get to the $1 billion? We could, but I think it's too early to tell because that involves some competitive environments. And if we win our fair share, we should be able to, but we've got to win our fair share.
George Stephos: Thank you. 
Operator: Your next question is from the line of Mark Wilde with BMO Capital Markets.
Mark Wilde: Good morning, John; good morning Scott. Scott, I wonder if you could just help us as we look into 2016, sort of think about the impact from aluminum premiums if they just stay where they're at right now, on your businesses around the world?
Scott Morrison: If they stay where they're at, we'll get a nice benefit in the first half of 2016, a bigger benefit than we're going to get in the second half of 2015.
Mark Wilde: And does that all show up in Europe, or do you pick that up in Brazil as well? 
Scott Morrison: No, it's mostly Europe. 
Mark Wilde: Okay. And is there any way to quantify or help us think about how big that number might be? 
Scott Morrison: Well, I said -- I'll give you some direction. In the first half, cost us -- I said 8 in the first quarter. It was actually a little bit lesson that, and then it cost us another 6 million in the second quarter. We won't quite get all that back in the back half of 2015. And then we'll get more than that recovery in the back half of 2015, we'll get that in the first half of 2016. So that kind of gives you the direction on the numbers. 
John Hayes: And those were in euros.
Scott Morrison: Those are euros.
Mark Wilde: Yes, okay. But just given the extent of the drop in premiums right now why wouldn't it be even bigger? It looks like we're back, we've given up maybe three years of premium increases? 
Scott Morrison: Yes, but the increases came relatively steadily and then just really peaked in the first and second quarter of this year and then they quickly dropped back to that lower level. So we're going to get everything that it has cost us but it's going to take the back half of this year and the first half of next year to get it all back. 
Mark Wilde: Okay. All right. Just stepping over to food cans for a minute, is there a point where the business shrinks enough that you've got just kind of a suboptimal footprint?
Scott Morrison: Well I guess there's theoretically there always could be. We're certainly not there now. The loss of the customer did take it out and we've been rationalizing certain facilities. And don't forget when the food and household products segment, our tinplate business from a manufacturing perspective, our facilities make both food cans as well as aerosol, so there's a balancing act there that as food has contracted aerosol has been growing as well. So you've got to keep both of those in mind relative to our plant footprints. 
Mark Wilde: So you can use the plants in a couple of different manners than?
Scott Morrison: Yes, exactly. We acquired -- when we had got into the tinplate aerosol business back in I guess it was 2006 that was one of the strategic rationales that we could combine and leverage the cost base of making effectively what are three-piece tinplate containers. 
Mark Wilde: Okay. And then John, is there any way that you would have us think about the potential for what the beverage can might get back to in Germany? I think right now it's about 4 billion cans, 3.5 billion, 4 billion. How do you think about that? 
John Hayes: Well I think about it since 2003 everyone has been articulating a point of view that if we could only get back to that 6 billion, 7 billion, 8 billion where it was. I don't have the numbers the exact numbers of the top of my head right now but we're back, we're making nice progress on it but we're probably half or less than half of where it originally was. I do think it's quite positive that all the major discounters now are listing the beverage can in Germany. But this is not an overnight flip of a switch and so I think there is we see sustainable growth in the German can market higher than other substrates because it had been off the shelf. And whether it can get back as I said to that 7 billion within X period of time I just don't want to guesstimate on that because that's what it would be.
Mark Wilde: Okay. And the last question I had was just to come back on that aerospace issue. It seemed like in that third quarter of last year you were thinking you might hear on a number of these contracts by late last year or early this year. What's been the issue with the delays? Is it just paralysis in Washington or what? 
John Hayes: Yes, there's just a lot -- there's two things going on. Number one, we did lose one contract that we had hoped to win and we can't hide from that. But then all the other ones, we had some as I mentioned I remember last year that we had already won a number of commercial things but the issue is they need to get funded and they haven't been funded yet. And that's taken longer than we expected. And then some of the things in the government I don't know if you'd call it bureaucracy or sliding to the right but the procurement side of the government is undergoing change right now. And I do think in some areas it's causing us some delays as I mentioned the things that we have a line of sight to we're not concerned about. There's some things that we ought to win and it's just a function of when and that are expected to be funded and then there are some competitive things out there as well in addition to all the commercial things. So I know it has been a little bit slower than even we would like but I think longer term we're not that concerned about it. 
Mark Wilde: Okay. Listen, good luck in the second half of the year and into next year. 
John Hayes: Thank you.
Operator: [Operator Instructions] And your next question is from the line of Chris Manuel with Wells Fargo.
Christopher Manuel: Good morning, gentlemen. Two questions but two different areas. So first area, wanted to talk a little bit about some of the activity down in Mexico. You have two lines going in Monterrey but it sounds like you're seeding some cans in today from North America. Can you give us a sense as to of the two lines that you'll bring up A, timing you said early next year both the lines coming pretty close together for timing? And then two, what portion of what you're bringing on-stream will replace what you're seeding going in? Maybe a little color, a little help there would be useful.
John Hayes: Well first in terms of the construction of our facility we expect the first line to be up in early 2016, then realistically kind of three, four months behind would be the second line. We are just starting to cede those things -- cede cans from some of our North American facilities into there. We're eating a lot of freight as a result. But that's why I think some of our CapEx we're really focused on getting that plant up and running as soon as possible because I think we get a lot of operating leverage not only for making cans locally and getting up the learning curve quickly but then also saving from the freight side of the business. In terms of the exact amount year over year, our customers have been growing very strongly. So I think it's masked but it's certainly well less than half of what we expect to make in Mexico even on the first line when we get up and running.
Christopher Manuel: Okay, that's helpful. And from an end perspective being you're growing in that area is there opportunity to redeploy some of the I think the equipment you put in at Bristol was relatively new as part of the end, the rebalancing you did maybe five, six, seven years ago. Is there opportunity to potentially redeploy some of that down that direction to balance supply that way?
John Hayes: Actually, let me correct a misunderstanding. The equipment when correct a misunderstanding. The equipment when we recapitalized our ends a number of years ago it wasn't in Bristol, it was in Golden, it was in Findlay, Ohio and so the Bristol equipment is not state-of-the-art. As a result of that it does not make sense to redeploy that capital and so what we're looking at using some of our existing facilities to fill that out.
Christopher Manuel: That's helpful. Thank you. One last question actually is you mentioned you may be able to help us with some of the timing at some of the different elements of the process where you are with the Ball Rexam transaction. What are the next milestones? So with respect to the process going under way in Europe, with respect to here in North America and in Brazil as well when we begin to get a sense or when you might begin to get a sense as to potential divestitures to begin that sale process what are the next timing milestones that we would see?
John Hayes: Unfortunately due to the takeover code the only thing I can do is refer you to the 2.7 documents that lay out a lot of the timing.
Christopher Manuel: Okay, thank you.
Operator: Your next question is a follow up from the line of George Stephos with Bank of America. Please proceed.
George Stephos: Hi, everyone. Three quick questions. One of your peer companies was out today and they said this in the past that they're seeing signs of maturity in the specialty market. We think there are some customer-specific factors at work in relation to that comment but could you comment at all if you've seen any signs of maturation of specialty in North America either in terms of growth rate in demand and/or price compression? Second question I had, I seem to remember back a year or so ago that was some commentary that maybe you might be looking at some investment in specialty cans in China or Asia but that would have to, maybe it was just standard cans, but that would have to be done in a way where pricing and return was satisfactory. Since we haven't had any kind of announcement in that regard is that a function of the fact that you just have too many irons in the fire or that the pricing dynamic really hasn't changed much at all in China? And then the third, kind of segueing on Chris's question, so again project net was very helpful to you from an end module standpoint. Are you going to have to add equipment here did you say to offset Bristol or are you able to get it out of existing productivity in your existing end modules? Thanks and good luck in the quarter.
John Hayes: Yes, thanks that's a mouthful George. Let me try and take it. First you talked about specialty and the maturation of specialty. Specialty is a very broad category. And so when you get into it do we see a maturation of say 16 ounce? Yes, we do see a maturation of 16 ounce although that's been growing nicely. But our bottle cans continue to grow very, very strongly and so when you look at the spectrum within specialty you're always in any industry in any new product you do have a maturation but as then what's about gen 2, gen 3, gen 4 around quote, unquote specialty. So I know that's a bit of a vague answer for you but that's what we see and so as a result we don't see the category slowing down. Certain pockets within that category may slow down but others may accelerate. Second, with respect to your question about Asia specialty, actually we've done a lot of work in terms of Asia specialty by converting some of our standard capability to have flex capability or swing capability. Just to give you a highlight I'm actually pleased to report for the first time ever our specialty as a percent of total in Asia is above 10%. Not three, four, five years ago we did nothing and it's grown double digits so far this year, so I think we're in good shape on that. And then lastly with respect to net your question is about project net, recall that when we did project net that was five, six, seven years ago and the market has declined materially. And so what we're going to endeavor is to sweat our assets and use as many as possible to replace the capacity that we'd be taking out.
George Stephos: Okay. And just the question on China and Asia was really more around pricing. I seem to remember that there might have been a project like a new plant or new lawn that you were considering potentially if returns on pricing had improved. So I may be wrong but I don't remember a new project coming out, so that suggests the pricing returns haven't really improved. Could you confirm or correct on that? Thanks again.
John Hayes: Yes, George, you have a good memory. Yes about a year ago or so and that may be nine months we were looking at a new facility and pricing has not improved to a point that we were satisfied with the returns, so we had halted that project.
George Stephos: Thank you very much.
Operator: [Operator Instructions] It looks like we have no questions there.
John Hayes: Okay great. Thank you, Keith, and we appreciate everyone's support and we look forward to engaging people as we move forward on our conference call at the end of October. Thanks all. 